Operator: Ladies and gentlemen thank you for standing by and walk on to the WEX Inc. First Quarter 2017 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you.
Unidentified Company Representative: Thank you, Tabitha, and good morning, everybody. With me today is Melissa Smith, our President and CEO; and our CFO, Roberto Simon. Press release we issued earlier this morning has been posted to the Investor Relations section of our website at wexinc.com. A copy of the release has also been included in an 8-K we submitted to the SEC. As a reminder, we will be discussing non-GAAP metrics, specifically adjusted net income during our call. Adjusted net income for this year's first quarter excludes unrealized gains and losses on derivative instruments, net foreign currency re-measurement losses, acquisition and divestiture-related items, stock-based compensation, restructuring and other costs, debt issuance cost amortization, similar adjustments attributable to our non-controlling interest, and certain tax-related items. The company provides revenue guidance on a GAAP basis and earnings guidance on a non-GAAP basis as we are unable to predict certain elements that are included in reported GAAP earnings. Please see Exhibit 1 to the press release for an explanation and reconciliation of adjusted net income to GAAP net income. I would also like to remind you that we will discuss forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors, including those discussed in our press release and the risk factors identified in our Annual Report on Form 10-K filed with the SEC on March 6th, 2016. While we may update forward-looking statements in the future, we disclaim any obligations to do so. You should not place undue resilience on these forward-looking statements, all of which speak only as of today. With that, I'll turn the call over to Melissa.
Melissa Smith: Good morning everyone, and thank you for joining us today. We're pleased to report a solid start to the year, highlighted by a topline beat and bottom-line results at the upper end of our guidance range. During the quarter, we generated an impressive 41% growth in revenue to $291 billion compared to the first quarter of last year. Net income on a GAAP basis was $0.68 per diluted share and we generated adjusted net income of a $1.23 per share, up 26%. The first quarter has established a foundation that positions us well for the remainder of the year. Before I go into segment detail, I want to highlight what we've done so far to execute against the strategic pillars for 2017 that I introduced last quarter. First and foremost, we're driving organic growth by deepening relationships, achieving new business wins, and continuing with our pricing modernization efforts. In Q1, revenue growth was 13% excluding the EFS acquisition and the positive benefits from fuel prices. We signed significant contracts renewals with longtime partners and saw high retention rates across all of our segments both of which speak to the value of the products and services we offer. We generated positive momentum in the marketplace and we will continue to capitalize it on our product sales and marketing skills along with a customer orientation to win additional share. Secondly, we're a leading to a superior technology. Developing and implementing innovative technologies enables us to better serve our customers and maintain our competitive positioning. Within WEX Health, we've continued to invest in R&D to further differentiate the platform and build upon the best-in-class mobile capabilities. In Brazil, we're leveraging our proprietary scale [Indiscernible] cloud based platform to innovate around mobile communications to increase cardholder engagement. In North American Fleet, our ClearView technology builds upon WEX vast data platform using proprietary algorithms that increase variability to pinpoint customer misuses and ways. With the recent acquisition of EFS, our technology highly differentiates WEX in the OTR marketplace, leading to more integrated solutions and significant new customer acquisitions. As I mentioned last quarter, we have a new CTO on Board and looking forward, we'll be taking steps to access to technology plans including both platforms and technical infrastructure. Lastly, we'll continue to leverage our investments to create further synergies. I'm pleased with the integration of EFS that's on track with expectations and the base business is demonstrating very strong fundamentals. As part of the integration, the EPS customer accounts were transitioned to WEX Bank in February and back office consolidation will be complete in the early part of Q2. Platform consolidation is progressing well and remains on track. We're on schedule to achieve our target of $25 million in synergies. Even in the midst of the integration process, during the first quarter, we had the largest ramp of revenue associated with new customers to-date, which will yield dividends going forward. Turning to the segment details, our Fleet Solutions revenue was $190.8 million growing, 58% over last year. Fleet payment processing transactions were in line with expectations and up 15% year-over-year. Same-store sales continue to stabilize and we're down 2% in the quarter, which is consistent with what we saw in Q4. Organically, payment processing transactions grew 8% in the quarter. We continue to build momentum in our contract renewals as well as new clients. As always best-in-class customer service remains our priority, which is demonstrated by the longevity of our client relationships. We've had great success in maintaining a high customer retention rate and a consistent track record of renewals. Recent renewals such as Maverick enterprise fleet management, [Indiscernible] ARI and lease plans contributed to our growth this quarter and I'm optimistic about the strength of our new business pipeline. In addition to the many smaller customer signings coming through our sales channel, we recently signed Weatherford Waste Management and [Indiscernible] Healthcare. We're working with Chevron and are progressing on activities leading up to the customer conversion to the WEX platform. Chevron is a strong business partner and we're aligned in our intentions to grow their business, while being thoughtful about the experience their customers receive. This is a significant win for us and we'll be spending the year focusing on implementation. We're collaborating closely with Chevron to work on customer engagement, sales strategy, and transitioning accounts. While we saw great growth in Fleet in Q1, the North American Fleet business did experience some pressure compared to our expectations as customers paid their invoices more timely than they have historically to avoid late-fee charges. Additionally, we experienced higher credit losses due to an increase in cards skimming fraud and a slight deterioration in our accounts receivable in this quarter. Turning to the Over The Road Fleet business, EFS continues to exceed our deal model expectations. Similar to our local North American Fleet business, EFS is renewing contracts while successfully competing for new accounts. We signed a new private label processing agreement with Pilot Flying J, which has formally managed in-house. This is indicative of the trust that merchants have with our superior technology and with WEX represent their brand in the marketplace. This quarter we signed a new agreement with NFI, Starfleet, Lynd Air to implement EFS digital card. In fact, new implantations were up 50% over last year. We also announced that we renewed night transportation. This win is a testament to EFS as unique technology and payment automation platform. We continue to scale our business and optimize our assets in Europe where volume and fuel price improvements contributed to a successful first quarter. Of strategic importance, we took over a declining portfolio and have been able to grow volume while dramatically altering the cost structure and overall profitability. This demonstrates our ability to grow portfolio within the European market, similar to what we experienced in other markets. The consolidation of administrative functions is ongoing and should be completed this year. Our International Fleet performance was strong outside of Europe as well with our Asia-Pacific business seeing significant growth year-over-year due to the S-O business in Asia. Looking forward, we continue to see interest from oil companies in both Asia and Europe, but as I said before, these are often long-term plays and we'll keep you posted on our progress. Overall, I'm very pleased with the progress we're making during the quarter in our Fleet segment. Let's now turn to our Travel and Corporate Solutions segment, which performed better than expected. Revenue grew 6% during the first quarter and purchase volume increased 35% during the quarter. Excluding the contribution from EFS, organic purchase volume growth was more than 20 % in the quarter. As a reminder, we have a number of changes impacting the business that we outlined last quarter. First, we've restructured our agreement with MasterCard which impacts comparability as our new contract has significantly reduced cost, but also reduce revenue. In addition, we renegotiated customer agreements all of which we noted would have an impact to a net interchange rate. Roberto will hit upon this in further detail later. Volume growth from a large travel customer helped drive results, highlighting the importance of high profile partners in our international markets. Our efforts to scale our Travel business internationally have inspired most recent expansion in Singapore. We've become increasingly competitive in the markets we serve. Although Asia is a relatively new market for us, our products and value proposition resonate with our customers there as demonstrated by our recent wins such as the lotus travel, profit travel, sincere travel, and Carlson Wagonlit Singapore. In Europe, we continue to see strong reception to our products and have recently signed [Indiscernible] a global business travel company. We underwent a successful ROC process with the European based [Indiscernible] in Q1, resulting a three-year contract renewal. In total markets outside of the U.S. contributed more than $250 million in incremental volumes compared to last year and we expect future growth in the future. We're also pursuing other verticals within Travel and Corporate Solutions. The purchase volume growth of EFS was 83% compared to last year, driven by new customer win and accounts payable solutions in many industries. We've also continue to cross-sell our virtual card offering into our Fleet business with new customers like the State of Arkansas and SG Fleet in Australia allowing for additional purchases. Lastly, Health and Employee Benefits Solutions grew 33% this quarter entirely through organic growth. We're seeing strong growth in Brazil in our Benefit business and similar to last quarter, revenues grew over 60% versus the first quarter of 2016 excluding the impact of FX. Brazil continues to be an interactive and active market for us and we're investing in our sales capabilities in this region. Turning toward U.S. Heath business, we like the tailwinds we see in this marketplace as there is a growing shift towards consumer directed healthcare accounts. Our Health business has market leading technology platform, which can be utilized in a multitenant way, increasing the amount of offerings to their partners into the marketplace. Our portfolio of accounts has diversified through FSA, HAS, and other account types and our account growth is outpacing the marketplace. We saw our largest and most successful enrollment season to-date which contributed to our organic growth this quarter. Spend volume year-over-year increased by over 23% this quarter as onboarding and overall usage had scale throughout partner base. We experienced continued strength in all partner types and signed a number of key wins this quarter; including Bravo Wellness provide wellness reward cards to capital Blue Cross in 16 new partner and cross-selling sign-up. We know power approximately two-thirds of the top 100 HAS and healthcare mobile account applications. Our market share continues to grow as their products resonate within the market. A recent product released focused on partner enhancements designed to provide both new features for enhanced usability and cost savings for partners. These include updates to the employer dashboard which gives partner unique insights into customer behavior and consumer directed healthcare accounts, all from user-friendly graphs and reports. Additionally, we added data analytics enhancements, which will help employers benchmark their performance and offerings. We continue to drive innovation and are committed to enhancing our products and services with a focus on simplifying the customer experience. The tailwinds that have been behind WEX's consumer-directed healthcare products are still intact, consumer driven solutions continue to be the answer to the challenge of increasing healthcare costs and complexity. WEX is well-positioned to help our partners continue to grow and will continue to lead the consumer healthcare market with our technology platform, robust account offerings, and health payment card business. I look forward to growing new scaling in this attractive market. Overall, we've had a very strong quarter, highlighted by organic growth in all three business segments, where our Fleet segment often receives the most attention. Our other two core verticals have proven to be a major asset to our brand and demonstrate ongoing diversification of our organization. Continued success in Travel and in Health has grown our global footprint while reducing our exposure to commodity pricing. Our foundation is to use technology to develop innovations solutions with a bias towards creating a strong customer and partner experience. We focus on the organic growth and we've been able to supplement that growth and increase our addressable market through strategic investments. As a result, our segment embody our vision for the company and validate our ability to execute against our strategic pillars and strategic -- and 2017 is shaping up to be a good year. Our performance this quarter is tracking well against our 2017 strategic objectives. As we look towards the second quarter, we'll continue to build upon the momentum generated in each of our core verticals. I'd now like to turn the call over to our CFO, Roberto Simon. Roberto?
Roberto Simon: Thank you, Melissa, and good morning everyone. For the first quarter of 2017, our total revenue was $291.4 million, a 41 % increase over the prior year period and above the high end of our guidance range of $275 million to $285 million. Net income on a GAAP basis for first quarter was $29.4 million or $0.68 per diluted share compared to $23.1 million or $0.59 per diluted share for the first quarter last year. Non-GAAP adjustment net income was $52.9 million or $1.23 per diluted share, up 26% from $0.98 per diluted share for the same period last year and at the high end of our guidance range of $1.16 to a $1.24. We are pleased with the results as we grew organically, expanded into key markets and regions, and saw a strong performance across all segments. We are also confident in debut business wins that Melissa just spoke about. And our [Indiscernible] which further contributes to our future growth. The Fleet Solution segment achieved $190.8 million in revenue, an increase of 58% or $70 million compared to the prior year. Contributing factors to this quarter's growth includes the ongoing contribution of EFS, higher fuel prices, the benefits of our price modernization, and favorable volumes. During the quarter, payment processing transactions increased to $102.9 million, or 15% as compared to prior year. Non-payment processing revenue in the Fleet segment increase $45.8 million as compared to last year due to the benefits from our price modernization efforts and contribution from EFS. The average domestic fuel price in Q1 was $2.40 versus a $1.97 in Q1 last year. Fuel prices were favorable compared to last year, though they fell a slightly short of our expectations. The increase in prices contributed approximately $50 million to revenue growth when compared to last year. EFS, again, had a strong quarter, which was in line with our guidance and contributed slightly more than half of the revenue growth in the segment. We remain on track with our synergy plans and continue to believe that we will meet the target set for the transaction. We also continue to gain share in the market, reinforcing the reason for completing the acquisition. Our pricing modernization efforts continue to produce positive results. But as we noted last quarter, we're seeing customers improve their on-time payments and therefore our avoid finance fees. These again play out during the quarter and finance fee revenue becoming below expectations for the quarter. Though we contributed more than $10 million in incremental revenue compared to last year when excluding EFS. However, we more than made up for the difference for the quarter and have fully reflected the expected change in our guidance last quarter. Last quarter, we spoke about ExxonMobil renewal and the Chevron deal. The additional core related to Chevron are already now our expected numbers and will remain steady for the remainder of the year. While they correlate to Chevron will be weighted towards the second half. In Travel and Corporate Solutions, revenue for the first quarter has increased 6% to $47.7 million. It was driven primarily by the inclusion of EFS as well as volume growth from our large travel customers. Purchase volume in the segment was $6.6 billion, which is an increase of 35% over the prior year. The organic growth rate in purchase volume remained well over 20% for the quarter. The net interchange rate for our [Indiscernible] in the first quarter was 53 basis points which was in line with our guidance provided on the last call. As we spoke, this was done due to the renewal of our large travel customers that became effective in January 2017. The volume growth in the travel exceeded our expectations for the quarter and is one of the reasons that we feel comfortable raising our revenue guidance for the year. For Health and employee benefit solution. Revenue for the first quarter increased 33% to 52.9 million resulting from a strong organic growth in both the U.S. and Brazil. Our U.S. health business had its largest and more successful enrolment season ever. Set in the table one another very good year. Spend volume WEX increased 23 % over last year led by a long time new enterprise pharmacy and we now covered more than 24 million lakhs. Our benefits business in Brazil continue its impressive growth base more than doubling versus the prior year, which includes the benefit of approximately 40% from foreign exchange rates. We have seen more demand for our payroll advance product due to an increasing activation with our customer base. Additionally, customers are repaying the borrowed funds over more instalments, which increases our revenue. Moving down the income statement. For the first quarter, total company operating expenses on a GAAP basis were 230.6 million. Salary expense for the company was 83.6 million, up from 63.4 million in Q1 last year. The increase was primarily due to the acquisition of EFS. We also had increases for normal growth in the business, and continuing investment in our Health and Benefit segment. Service fee was $36.8 million in the quarter, which is flat compared to the same quarter last year. Despite a strong volume growth in the Travel segment, the addition of EFS and the outsourcing of our back-office IT operations, the growth rate of service fee is held down by our ability from our new agreement with MasterCard that went into effect in September of 2016. As we mentioned on our last quarter call, we should continue to see favorability for our at least the next two quarters. During the first quarter, credit loss on a consolidated basis totaled 12.2 million, up 8.3 million compared to the first quarter last year. In the Fleet segment, credit loss was 17.8 basis points of the spend volume, which was above the high-end of our guidance range compared to 9.3 basis points in the first quarter of 2016. The increase in credit loss was due to a number of factors: First, fuel prices this quarter were approximately 20% higher than Q1 2016. Second, the addition of EFS increased expense compared to last year. Third, because the fee changes we have made over the past 12 months, we're seeing more late fees being charge-offs. Finally, we're seeing higher incidence of fraud and slight deterioration in accounts receivable page. Over the past few months, we have seen a spike in card skimming, which historically has not been a significant expense for us. We're implementing a new fraud detection software during Q2, which should help to mitigate the activity going forward. Additionally, we have started implemented a stricter velocity limits, which limits the ability to make unauthorized purchases. Our operating interest expense was 4.9 million in the quarter. As previously mentioned, our agreement with Higher One ended during Q4 of 2016 and as a result, Q1 saw an increase in operating interest expense as we replaced those deposits at core market rates. We also had increases for higher fuel prices, EFS balances and normal volume increases. Finally, the strong performance in the Brazil business increased our accounts receivable balances. On a GAAP basis, the effective tax rate for the first quarter was 33.3% compared to 36.2% for the first quarter of 2016. On an E&I basis, the tax rate was 36.4% for both the first quarter of 2017 and 2016. Moving on to the balance sheet. We ended the quarter with 204 million of cash, up from 190.9 million as compared to the cash position at the end of last year. We ended the quarter with a total balance of 2.2 billion on our revolving line of credit, term-loan and notes. Our leverage ratio as defined in our credit agreement, it stands at approximately 4.6 times. By year-end, we expect our leverage ratio to be approximately four times, in line with our expectations when we announced the EFS acquisitions and as we mentioned on our last call. Our debt and leverage ratio, increases slightly during the quarter, which was caused by the transfer of EFS customer accounts and deposits to the WEX Bank, expected seasonal increases in our debt as well as growth in our travel business. Now for our guidance. Note that these expectations reflect our views as of today and are made on a non-GAAP basis with respect to adjusted net income. This guidance is based on exchange rates at the end of the first quarter. For the full year, we expect revenue to be in the range of 1.165 to 1.205 billion and adjusted net income in the range of 221 to 237 million, or $5.15 to $5.50 per diluted share. This revised full year guidance reflects the confidence we have in all three segments of the business despite pressure on finance revenue, the increase in credit loss, and higher interest rates. This also assumes that the fleet credit loss will be between 10 and 15 basis points, although towards the higher end of the range. Domestic fuel prices will average $2.44 per gallon and the fuel prices assumptions for the U.S. are based on the applicable NYMEX future price from last week. We expect our adjusted net income tax rate to be between 36% and 37% for 2017. EPS guidance is based on approximately 43 million shares outstanding. For the second quarter of 2017, we expect to report revenue in the range of $286 million to $296 million, and adjusted net income in the range of $51 million to $54 million or $1.19 to $1.26 per diluted share. These figures assume normal seasonality trends in the virtual card business as well as credit losses. This guidance assumes that our fleet credit loss will be between 11 and 16 basis points. It also assumes that domestic fuel prices will average $2.45 per gallon. With that, we will open the lines for questions.
Operator: [Operator Instructions] The first question comes from the line of Sanjay Sakhrani with KBW.
Chas Tyson: Hey guys, good morning. It’s actually Chas Tyson on for Sanjay. I just want to go back on the comments you made on pricing and pricing modernization efforts. You know that the consumers are continuing to react to that, can you talk about how we should expect that to trend going forward and what growth we should expect to see in that particular line in the fleet?
Melissa Smith: Sure, this is Melissa. I said -- just going back, when we started looking back at pricing modernization, what we wanted to do is make sure that we implemented fees to put us in better alignment in with market and particularly in the small Fleet segment of the U.S. marketplace. And we made a number of changes and included in that changes was the change to late fees for our universal product and you see those reflected in the run rate of the portfolio. And from a behavioral change perspective, what we saw is just a slight trend towards making a payment that we have seen historically. So as Roberto mentioned back, what we have seen in the first quarter is what we are reflecting in our guidance for the full year. So it is a similar trends and similar behavior or similar growth and we implemented those changes in the second quarter of towards the end of the second quarter of last year.
Sanjay Sakhrani: Great. And this is Sanjay, sorry, I have done. Could you just talk about the Pilot J relationship maybe just this size and scope and the timing that you expect to bring them on?
Melissa Smith: Yes. We're excited about this, but we're doing with Pilot Flying J is similar to what EFS does in the Canadian marketplace with major roles that they are private label process, but in addition to that, we do whole host of other services. And so we just announced the contract working through the details of what the implementation will look like, but we think it's good and also it has to be in fact that they want to work with us in the marketplace and that allows us to think of things that we can do collectively that would make that unique.
Operator: Your next question comes from the line of Tim Willi with Wells Fargo.
Timothy Willi: Hi. Thanks, and good morning. A couple of modeling questions. First in the Corporate and Travel, the other revenue, I guess is a little bit larger than I would have expected. Is there anything their unique? Or just related to sort of all the changes you had with MasterCard and contract renewals?
Roberto Simon: Hi. Good morning. If you remember when we talk last quarter, the new contract renewal with one of our largest OTAs what we have is an impact on our processing revenue. But at the same time, what we have going forward is higher revenue based on the spend volume outside of the U.S. So what you will see going forward is that -- you saw the revenue depending on the mix between domestic and international volume will have some fluctuations.
Timothy Willi: Okay. Great. Thank you for clarifying that. And other question I had on modeling. I know you touched on this I got pulled away from the call at a second. So I apologize, but with Pilot Flying J, with Chevron, lots of new pieces of business coming on, again, could you just sort of repeat or sort of how we think about the investment flows through the course of 2017 as you start to get ready for those contracts and sort of springboard for 2018 when you start to actually bring the revenue on it and stand those up?
Roberto Simon: Yes. The first thing is as I said ExxonMobil expenses are already in our Q1 and are going to continue for the remainder of the year. In the case of Chevron and as I said, this is ramping cost will be towards the second half of the year and obviously, all these contracts events, as Melissa mentioned, and the growth we are experiencing in the health business, we are ramping up expenses in this segment as we move into Q2 and then therefore, also in Q3 and Q4.
Timothy Willi: Great. And that I just had one last one -- sort of macro and the same-store, so I guess, as you pointed out some stabilization, I guess in the year-over-year growth rate at minus two. Any kind of color or sense is to how you guys perceived, I guess, the economy and the possibility that, that same-store begins to show improvements. Obviously, you see lots of lots of granular data versus we get sort of these macro numbers around GDP and stuff like that, but do you have any optimism of sense that the way the comp set up any other data you see that -- it's possible that the same-store number have moved towards a flat line of not even positive, if we keep sort of economic trajectory we're seeing?
Melissa Smith: Yes. If you look at the places that we're soft, there is more softness around transportation. Construction looks flat to slightly positive and I was looking the construction sites in a way to think more about consumer parts of the economy and having that the slightly positive I think is a good time. In terms of whether or not we think that's going reflect to something positive. We think that there is always a bit of a natural drag in same-store sales because of fuel efficiency. As vehicles are getting moved into the marketplace, they are more and more efficient. So having it be at negative 2% isn't that far off and we normally plan for it to be about flat. So you take the economic growth and united against fuel efficiency and expect same-store sales to be generally flat and normal -- so we're not that far off from that. So I think, we're seeing positive movement in this and we have seen that the last couple of quarters, I think that makes us slightly positive on what we're seeing in the economy right now.
Timothy Willi: Great. Thanks very much.
Operator: Your next question comes from the line of Jim Schneider with Goldman Sachs.
James Schneider: Good morning. Thanks for taking my question. I was wondering if you could maybe just kind of touching on your earlier comments on the deals in Europe and Asia you're involved with most, can you maybe give us a sense of how many European or Asia specifically are out there that you're currently involved in bids on? And maybe just kind of give us any kind of color you can on the relative size of some of those deals? And then whether you expect anything to be decided one way or another before the end of this year?
Melissa Smith: Yes. Actually, I'll start with the marketplace in Asia I -- we were experiencing what we’ll find in that marketplace is that it moves faster, it's just more fluid and with more broadly that just lead us experience too far on the travel side of the business. So as we're looking at our pipeline that's the place that we had focused and we felt really good about on a shorter-term basis. On the European marketplace, we continue to -- it's not just a responding RFPs and that’s being proactive in the marketplace and talking to a bunch of different customers of different size that you get obviously majors are out there. But in the U.S., we process for a number of mid-size customers as well and so we've been in the marketplace and active for a while. I've said for years that market moves slower and that certainly been our experience. Since we've been in the marketplace now it's not different now, so there is number of prospects that are active in the pipeline. There are sizes of all over the place. But in terms of how we think about the marketplace, we think that we will see more momentum in the short-term in Asia and then we think of Europe is being a longer-term plan.
James Schneider: Thanks, that's helpful. And then maybe just in terms of the overall kind of margin profile on op margin line as you move throughout the year, can maybe just give us a sense of to what extent you expect to hold the line on non-variable costs and maybe just kind of talk a little bit about I believe you referenced the Chevron cost ramping in the back half of this year. So are there any beneficial offsets to that and just how you think about OpEx profile generally?
Roberto Simon: So this is over to what I would say to you is Q1 results very strong and when you look at our full year guidance, we are increasing revenue and slightly our EPS. They are number of factors influencing and want to consider in while revenue is growing more and EPS is a bit – is growing less than expected. But what I would say to you what I have mentioned before you have second half of the year, you have Chevron car ramping up. In Q1, with that as I said credit loss was higher than anticipated and although it’s going to start going down in the future quarter, we are going to still see on a full year basis more expense that we have initially estimated. Finally, what I also would said to you is our Travel and segment solution is performing better than we expected and our health segment as well and we are taking advantage of that to also continue ramping cost and investing in the business to continue gaining market share.
James Schneider: Thank you.
Operator: Your next question comes from the line up Bob Napoli with William Blair.
Robert Napoli: Thank you and good morning. Just did you said Melissa the -- you had the largest ramp up from new customers that you've ever had in the first quarter and you certainly announced a number of key wins, what is driving, has there been an acceleration in new wins and why is that? And can you give any color on the revenue from the new wins that you are on boarding?
Melissa Smith: In the reference I was making was within EFS business. There's definitely been an acceleration in new revenue implementation. It had a great pipeline we knew that when we purchased the business there's a period of time from when they take the pipeline and actually go through the implementation because of the level of integration that they have with their customers. But they've got great momentum and I would that we're seeing that across many parts of our business and the momentum ties to the product. I talked about a budget piece of the technology that we’ve got in the marketplace but as I say that's resonating in each of our markets. In Brazil, we've got a huge ramp in revenue and some of that because of the new functionality that we've deployed on a mobile basis to the customers there that have triggered more activation. And in the U.S., the liquidity product that I talked about is getting a lot of momentum in the marketplace, people are very interested in what it can do and that's contributing to some of the wins that we're seeing here in North American fleet and I would say the same thing with EFS, their momentum is really built off from the underlying technology, the capabilities they bring to the marketplace and the enablement of customizing to their customers. And so, even though that we're seeing -- and I talked about negative same-store sales in transportation, they are able to offset that into new customer wins. And we liked what we saw when we bought the business, but we see even more momentum since we bought it and the ability to combine the assets what we had here at WEX prior [ph] and what we're adding on the EFS is pretty powerful.
Robert Napoli: So, what you think about the growth rate, I guess, for the fuel card business in the U.S.? Is it over the next a few years? Is it -- as you get into next year, 2018, generally, we think about the U.S. business as mid to upper single-digit growth business, is it better than that?
Melissa Smith: I would say that when we think about the total business, we were looking at the 10% to 15% revenue growth. And the fleet business is a contributor to that. We try to target everything to be at least in that range as we think about the marketplace. And that means we hit it every quarter, but that's our intention and we feel like we've got a lot of capability, we've got a really great prospects to make that happen.
Robert Napoli: Thank you. And then just to -- question just on the guidance, the fuel price that you used to -- is the same as it was last quarter, but it seems like oil prices have come down, so surprised by using the same number. Just wondered what your thoughts were around that? And then just finally, on the first quarter, you had higher credit losses, lower fee income, but still outperformed. What were the major areas that are exceeding your expectation to offset those weaker items?
Roberto Simon: So, Bob, good morning. This is Roberto.
Robert Napoli: Hey, Roberto.
Roberto Simon: With the fuel prices, as you know, in the last, I would say, two weeks to four weeks, I mean fuel prices has been very volatile. And we have been down to 235 and up to almost 250. So, we took the position of a [Indiscernible] curve of last week and it came to be 244, which is coincidence that was not we had in the full year guidance. So, we keep close monitoring of the fuel prices, but as I said, I mean they have been very volatile in the past two to four weeks and it's difficult to predict what is going to be trending. Your second question was related to service fees, is that correct?
Robert Napoli: Well, no, first quarter you beat our expectations, but you had higher -- you had some things that missed like higher credit losses and lower late fee income. So, what is the main -- what are the main things, it looks like the payment processing transactions maybe, but what were the main things that outperformed your expectations?
Roberto Simon: Yes, so in Q1 and I say, number one on the traveler space, we have no more volume than we anticipated. We grow over 20% organic and 35% when you include all the Travel segment. So, we beat expectations there. Our U.S. Health business also outperformed our expectations and our Brazil business as well. So, all of these made up a good quarter in terms of revenue. On the other side, I think, I outlined well the biggest expense higher than anticipated in our Q1, which was the credit loss and I outlined the reason why.
Robert Napoli: Yes.
Roberto Simon: We expect this credit loss expense to start going down in Q2 better than Q1. I mean, I guided 11 to 16 basis points when we closed the quarter almost at 18. And then we expect that the second half of the year with a credit loss continue going down.
Robert Napoli: Okay. Thank you.
Operator: Our next question comes from the line of Tien-Tsin Huang with JPMorgan.
Tien-Tsin Huang: Hi. Good morning. I wanted to just ask on the credit loss component. Can you break out how much of that is due to the card skimming versus the some of the other cyclical factors you called out?
Roberto Simon: Yes, good morning. What I would say to you is that -- obviously, we expect to credit losses and we would have hoped at the high end of our guidance range. And the other thing I said to you is that historically, our fraud of this type was not a significant expense to us. So, there's too many factors to say, which one was higher than the other. I mean, every piece contributed to this credit loss increase. What I would say to you, specifically, on the fraud, we are working diligently, implementing, as I said, a new detection software that is already in place in Q2 and as I said as well as start implementing a stricter velocity limits, so that we can limit the unauthorized purchases.
Tien-Tsin Huang: Right. Okay. So, the software upgrade, it sounds like that's a pretty easy and quick fix and we should see -- we will the performance improves pretty quickly as a result of that?
Roberto Simon: What I would say to you is we put it in effect in place early in Q2. And we're going to see -- I mean we expect obviously that's why we're investing the money to see the fraud going down. If it's going to go faster or slower, we're going to be seeing in the next couple of weeks -- in a few weeks.
Tien-Tsin Huang: Yes. Okay.
Melissa Smith: And more broadly I would say, if you think about it from a trend perspective, there's the migration over to chip and there's going to be a lag [Indiscernible] field locations with [Indiscernible] and so this is something that we want to make sure that we're investing in because it could become more of a trend. It's actually been fairly isolated behavior. And so we -- Roberto talked about the velocity controls, one of the things we have already embedded in the program, the ability to create a lot of different control around spending. And so part of what we did pretty quickly was to increase those velocity controls. So, we had to work that through with both the merchants and with our customers before we did that. So, it took us a little bit of time to work our way through that. But that's another thing that we've seen immediate benefit from. It's just really adopting some of the control features that are designed in the product even more aggressively in the markets where we've seen some of the behavior.
Tien-Tsin Huang: All right. Thanks for that, that's useful. Just a quick final question. Just the better repayment performance because the fleets are avoiding fees, sort of similar question. Is that cyclical or are fleets even more mindful of savings there or is that just a natural byproduct of the changes you guys have made? Thanks.
Melissa Smith: I think that what we typically see is that their behavior is more akin to what they've done historically and a little bit of the timing of when payment cycle event. So, depending on when you get billed that affects payment behavior and well, that's fairly predictable and we could see that play out over the course of the year. What we think happened this time is that people are moving towards making payments more current, which is a good thing. There's other savings for us when that happens, so that's positive. And we're planning as if that's a trend and the only caveat, I'd say, there's either some seasonality quarter-to-quarter based again on when the timing of bills goes out that we reflect in the future quarters of the year.
Tien-Tsin Huang: Makes sense. Thanks as always.
Operator: Your next question comes from the line of Ramsey El-Assal with Jefferies.
Ramsey El-Assal: Hi, guys. I wanted to ask about the net interchange on -- in the Travel business. What is the long-term view of this metric? Is this kind of a new baseline that we have here? I mean will this line continue to compress over the long-term or do you expect some stability at some point?
Roberto Simon: So, good morning, this is Roberto. I will start saying we gave a pretty specific guidance last quarter on where we expected net interest rate to be for this year. And we were right in the middle of that range in Q1. For the remainder of this year, I would say that we're not expecting any big changes. So, we can always have some movement, as I said before, based on the customer mix and geographical mix. But I repeat I mean we do not expect any big changes for the remainder of 2017.
Ramsey El-Assal: Okay. And over the longer term, I'd say next to three years, five years, is there a point at which renegotiation of contracts in this line will -- simply there's just not enough left in order to compress the line further? I mean is the long-term view that this continues to kind of compress for every renewal cycle or is it just more like you reach a point where it sort of stabilizes?
Melissa Smith: I think it's probably somewhere in between. If you look at the longer term cycle, the interchange revenue, in general, we look at our rates; we typically do see some compression upon renewal. But there is a point that in most parts of our business, when you get to the point where that hit a saturation spot, you start to getting into some of our other fees also the customer because at the end of the day, we think of it as a value exchange as they need to be able to get value at the products that we're offering and there's clear demonstration of the value that you can quantify. And at the same time, we have to stay competitive to the trends that are happening in the marketplace. And those are the two factors that kind of bound where our pricing is. And -- so in this case I think there will continue to be some competitive pressure which is what we see generally across all of our markets. We compete on product; other people come in and compete on price. And so we have to be conscious of that, we had to make sure our cost structure is set up with that in mind, but there is a limit to where that will go. And at the end of the day we can show some tremendous cost savings to our partners and efficiencies that we don't think other people can bring to the market.
Ramsey El-Assal: Okay. Somewhat similar question on pricing, which bodes a little bit of Tien-Tsin's prior question. Has anything you've seen with customer reaction to what you've done change your -- again, long-term view, not talking about guidance this year, but long-term view about pricing being a -- kind of a recurring tailwind in the model going forward?
Melissa Smith: When we went through and we made our pricing modernization changes, we looked at the border marketplace where fees were and we approach the market with a thoughtful way of being highly transparent about changes that we're going to make, presenting them a bill in a way that was easy for our customer to understand. We largely focused on fees that were avoidable based on their behavior and so all of those things have translated into a very sticky skill experience for the customers and it's clear that they've noticed that we've made changes, but we left a lot less than 3% voluntary attrition even throughout the process of making changes. So, I think what we've learned so far is that how we approach the customer making sure is that we're doing it in a thoughtful way. And at the end of the day, the things -- we do think about is making sure that there's value to that customer, the products that we have in the marketplace. And so there's nothing in what we've learned in our approach that would make us change what we want to do in the future. And we're very much about testing too. If we're going to make a change to something we think it's bigger, we typically will test it in a marketplace, see the reaction to that before we go through an implantation cycle, which makes us move a little bit faster -- I mean slower, sorry in implementation. But I think it's part of why we've seen such a reaction from our customers in terms of making sure that we just have retained the customers. So, that's the long answer to -- I don't think it really changes our long-term approach and in some of the pricing discussions that we've had effecting partners that's something that we've had very direct conversations with our partners about. And that needs to be factored into a mix because we represent our brands who want to make sure what we do in the marketplace is consistent with what they would want us to do.
Ramsey El-Assal: Okay, great. Thanks so much.
Operator: Your next question comes from the line of Daniel Hussein with Morgan Stanley.
Daniel Hussein: Hi good morning. Thanks for taking my question. Just on Travel, you said, I think volumes were better than you had expected. Can you just talk about what's driving that specifically? And whether that's just organic growth from your large OTA partner? And then how sustainable that sort of 20% plus organic growth looks like going forward? Thanks.
Melissa Smith: It's actually a combination across the portfolio. It's coming from the major travel customers, but it's also coming -- and I talked about $250 million worth of incremental spend outside of United States. So, we're seeing ramp in Asia and growth in other parts of the world. And that -- so all those pieces are coming together and over performance that we saw in the first quarter.
Daniel Hussein: Okay. Thank you. And then and then on the higher retention that you just gave some commentary on a sort of voluntary attrition being less than 3%. But could you talk about that number more broadly? And why retention has trended more positively? And has anything to do with the sort of business ability information and so forth?
Melissa Smith: Yes. In that number of segment, specifically Fleet in the United States which has been the place that we're focusing on in the previous commentary and pricing. And I would say that it's actually been really consistent if you look back over the last 10 years. The voluntary attrition rates for us have been generally under 3%, often 2% and it's one of the measures that we've looked at amongst many others when we think about customer satisfaction. So, we look at customer satisfaction. We look at Net Promoter Scores, we look at ultimately attrition because we think people talk with their fee and at the end of the day, if we're doing things in a way that is reflective of what a customer expects, then we'll see that play out in voluntary attrition.
Daniel Hussein: Okay. Thank you.
Operator: Your next question comes from the line of David Togut with Evercore ISI.
David Togut: Thanks. Good morning. I apologize if someone asked this before I -- I was joined late from another call. Can you talk about the European business, particularly, the outlook for new deals in Europe? There's been I think some talk over the last few quarters that there are a couple of big deals in the pipeline any update on timing would be appreciated.
Melissa Smith: Yes. So, what I said about this was that when I think about the marketplace that we think about it more broadly than Europe, we've had really good experience so far in Asia. And we think of Asia as a marketplace that moves more quickly and we have items in the pipeline that are more active in that market place in a short-term manner. In Europe we've been hitting the marketplace for a while and we do have a pipeline of various size transactions, some big, some smaller. But we still think of that marketplace, its playing out more slowly and that's not something that's new that's been our experience in that market for a number of years. So, it really isn't a lot that we would say from last quarter about what's happening with people, still very confident about the long-term prospects we have in both those marketplaces. They move at different speeds.
David Togut: Understood. Thank you very much.
Operator: Thank you. Ladies and gentlemen that does conclude the call for today. We thank you for your participation and ask that you please disconnect.